Operator: Good morning, ladies and gentlemen. Welcome to Hammond Power Solutions Fourth Quarter and Year End 2023 Financial Results Conference Call. Certain statements that will be discussed in this conference call will constitute forward-looking statements. The forward-looking information and statements included in this discussion are not guarantees of future performance and should not be unduly relied upon. Forward-looking statements will be based on current expectations, estimates and projections and involve a number of risks and uncertainties, which could cause actual results to differ materially from those anticipated and described in the forward-looking statements. Such information and statements involve known and unknown risks, uncertainties and other factors that may cause actual results or events to differ materially from those anticipated in such forward-looking statements. These factors include, but are not limited to, such things as the impact of general industry conditions, fluctuations of commodity prices, industry competition, availability of qualified personnel and management, stock market volatility and timely and cost effective access to sufficient capital from internal and external sources. The risks just outlined should not be construed as exhaustive. Although, management of the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Accordingly, listeners should not place undue reliance upon any of the forward-looking information discussed in this call. I would now like to turn the call over to Adrian Thomas, CEO of Hammond Power Solutions. Please go ahead, Mr. Thomas.
Adrian Thomas: Thank you, operator. And good morning, everyone. Welcome to Hammond Power Solutions fourth quarter and year end financial results conference call for 2023. Joining me today is Richard Vollering, our Chief Financial Officer. 2023 was an exciting year for our company. We delivered exceptional results with record sales of $710 million, up 27% over 2022, and with continued growth across all parts of our business. Organic growth continues in the low double digits in North America and 17% overall for our company. Although inflationary price increases have slowed as commodity prices stabilized, pricing remains resilient as demand continues to stretch industry capacity. We continue to grow our standard products business by expanding our distribution base in the US and through our focus on growing sales in Mexico. The US economy defied the much talked about recession in 2023 and we saw steady growth in this geography. I should mention that Canada growth was also steady and even accelerated towards the end of the year. Our India business remained strong with an 85% year-over-year improvement in sales. [Quote] activity remained strong with target markets being secondary transmission, renewables, service and multi-pulse drive applications. With high levels of growth come challenges and in 2023, we were challenged in maintaining our exceptional service levels. While our stock levels improved on standard products, in the third quarter, we had to readjust our shipping schedules for some of our custom power and OEM orders due to high level of growth that came ahead of our capacity investments and at a faster rate than anticipated. This reschedule impacted many of our customers and we've been focused on catching back up to our reputed performance levels. We thank our customers for their patience and flexibility as our teams work tirelessly through these scheduling challenges. In late 2022, we embarked on the largest capital program in our company's history, allocating $50 million to our growing manufacturing capacity at our facilities in Mexico, Canada and the US, specifically, our Mesta facility in Pittsburgh. Every HPS facility surpassed 2022 shipments in 2023 with our Guelph facility seeing the highest level of growth across operations. The capacity that we started to add to our capital projects helped us tremendously in achieving these new sales levels. However, the bulk of our announced capital expenditures will be spent during 2024 and completing in the first quarter of 2025. This added investment will provide us with future annual capacity of approximately $900 million, allowing for continued growth in the coming years. As we have improved our stock position of transactional products at the end of 2023, we will continue to expand our coverage in the US distribution network as well as in Mexico. Our distributor network, which accounts for more than 65% of our revenue is critical to us, and adding new distributors is a process we take very seriously. To better serve our increasing volumes, we opened a new warehouse in Baltimore, which is now fully launched and is another step we have taken to better serve our customers and to optimize logistic flows. While we are adding capacity in our traditional product lines, we're very excited about several of our new products focused on power, quality and harmonics. For those of you who are newer to the Hammond story, we're seeing increased demand for these products as our customers are increasingly in need for reliable and resilient electricity. Our Mesta acquisition continues to grow as part of Hammond Power Solutions and achieved $18 million of sales in 2023. To continue to grow this business and to build a focus on our power quality, we have created a new business unit. In addition to increasing capacity, our team is also busy developing innovative solutions for the market, such as our recently launched sinewave filter, an essential element in our growing power quality portfolio. My last point before handing over to Richard, I'd like to make a note of our commitment to making a positive impact to the society and environment. In 2023, we published our inaugural, environmental, social and governance report for Hammond Power Solutions. This report was based on 2022 measurements and was our first step in formalizing our commitments and making our progress transparent. We saw both internal improvements as well as improvement to our externally validated [ecobeta] score. With that, I will now hand the call over to Richard to provide you with some financial context to our operations. Richard?
Richard Vollering: Thank you, Adrian. And good morning, everyone. In keeping with previous quarters, we continue our progressive growth and quarterly sales as we add capacity peaking in Q4 at $187 million. While growth continued to be fueled by the distribution network, the demand shifted towards Canada in the fourth quarter where growth had lagged the US in previous quarters. As of previous quarters, the demand for larger higher power custom and configured units were responsible for most of the growth. Of the increase in sales of 27%, we estimate that 17% is due to organic growth when Mesta and India are included, 7% was due to price increases carried over from 2022 and 3% was due to the strengthened US dollar. Not surprisingly, the backlog is up from the prior year by almost 20%. It is down by 3% when measured against Q3. The reason for the decrease is twofold. First, with our capacity additions, we are able to work to our backlog more quickly. And second, growth in certain markets in the US moderated in the fourth quarter, mainly in commercial markets, which typically consume our lower power standard products. Margins for the year were 32.5%, at the high end of our recent range. This is 2.9% higher than in 2022 with gross margins of 29.6%. These margins are the result of higher operating leverage due to high factory throughputs, stabilizing input costs, a higher proportion of Mesta and power quality sales and improving margins in India. While we implemented no new price increases during 2023, we did benefit from the carryover effect from 2022. The higher margins in the fourth quarter were mainly due to inventory adjustments due to the physical count and adjustments to inventory reserves. The full year margins are more reflective of our targets than the Q4 margins. SG&A costs in the fourth quarter were at their highest level during the year at $41.7 million or 22% of sales. Of that, approximately $8.7 million was due to share based compensation. Without this, SG&A would've been 17.6% of sales. For the year, SG&A costs were $143.7 million or 20% of sales. Of that, close to $20 million was due to share based compensation. Without this, SG&A would've been 17.4% of sales. Other increases in SG&A were mainly volume driven in terms of freight and commissions and investments in people and technology to support our growing business. EBITDA for the year was $96 million or 13.5% of sales and adjusted EBITDA, excluding share based compensation and foreign exchange losses, was $117 million or 16.4% of sales. This was above our target EBITDA range of 12% to 15% and is mainly the result of higher operating leverage. Cash from operations for the year was $44.1 million, [backed] by our increasing need for working capital and AR and inventory to support our year-over-year sales growth of $150 million. Capital spending in the year reached $20 million, much of which was allocated to our capital expansion plans. We expect that 2024 we'll see spending of approximately $40 million as we complete the new factories in Mexico and Pennsylvania, as well as further capacity additions within existing facilities during the year to support growth in the higher power and custom products. We are pleased with our results and believe that they reflect our ability to leverage our existing asset base, while investing prudently to support growth in the years ahead. I'll now hand it back to Adrian for closing remarks.
Adrian Thomas: Thank you, Richard. I'm proud of how far we have come this year. And with our success, we can envision a bright future. We now have the resources to build a stronger company in terms of our manufacturing capabilities, the technology we use to scale our business and the development of our talent base. In the coming years, we intend to build on our strengths as a leading transformer manufacturer, while opening new avenues to grow in power quality and other power version solutions. We wholeheartedly thank all our employees for their tremendous efforts during this exciting time, as well as our shareholders for their support of our vision of the future. Thank you. And I will now turn the call over to the operator to take questions. Operator?
Operator: [Operator Instructions] Our first question will come from the line of Matthew Lee with Canaccord Genuity.
Matthew Lee: Maybe first on the capacity expansion. Wwhen we talked last quarter, you mentioned capacity between $900 million to $950 million by the end of 2025, your press release mentioned $900 million by 2025. I mean, does that imply a bit of a faster cadence for the project, or am I looking too much into that? And then maybe talk about where capacity is today?
Adrian Thomas: Just for clarification, there's two things, when we will have installed capacity and then when we expect to actually fill up that capacity. So in some of the cases, we will have orders for the installed capacity right away. In other cases, we're building ahead. And so there will be some time delay from when we get the equipment installed to when we have the orders and backlog to fill that capacity.
Matthew Lee: And then maybe on the backlog front, you did call out commercial industrial softness the driver of sequential decline. Maybe just talk about your ability to pivot towards higher growth customer segments in 2024, and if we should be expecting backlog growth to kind of reaccelerate as we go into the year?
Adrian Thomas: There are some limitations on that, Matt. Just simply because of the way we're structured. I mean the factories have particular mandates to make particular products. And so the products that typically make those types of products, it's not very easy to shift that into higher power. But there are some facilities where there's a bit of a mix and there's, to some degree, some flexibility. But certainly, I think in the longer term, if you look at the longer term trends and there are still going to be some capacity constraints on that, that large power side of the business.
Matthew Lee: And then maybe backlog growth for the year?
Adrian Thomas: It’s difficult to say. Now what we're trying to do is -- I mean, some of the capacity additions that we've been talking about are specifically for that type of business. So depending on -- and some of that might not happen until later in the year, so we might not see the effect of that until maybe 2025. But we are trying to address it by adding equipment to make more of that type of product.
Operator: [Operator Instructions] Our next question will come from the line of Jim Byrne with Acumen.
Jim Byrne: Adrian, kind of in your comments, you mentioned the shift starting in Q3 about the increased time and production schedule. Is that largely worked through now or where are you in terms of kind of catching up on some of those scheduling issues?
Adrian Thomas: I think there's two parts to your question. I think from an accuracy standpoint, we've definitely made a lot of progress. But in terms of where we want to be from a total lead time perspective, I think there's more work to do. So I think as we get more of the capacity installed in the first half of this year, I think in the second half we'll be in a good position.
Jim Byrne: And then Richard, you mentioned that the $40 million in CapEx here for 2024. Just remind us what you would consider maintenance CapEx in that amount?
Richard Vollering: I think maintenance CapEx is generally between $8 million and $10 million a year. Historically, it's probably a little lower than that, but as the capital base has grown, it's grown with it.
Jim Byrne: And then the swings in gross margin, we've kind of seen in both Q4s this year and last year 2022. Those were both kind of similar reasoning because the inventory adjustments and then do you feel like 32 is kind of the number we should be shooting for for 2024?
Richard Vollering: I mean I think that's right, Jim. And I would certainly look at the 32.5 as being more reflective of our recent target, giving you a set of circumstances that we're working in right now.
Jim Byrne: And then just maybe lastly, just on the Mexico timeline is still Q2, and how quickly do you think you can stock that, fill that, get it up and running?
Adrian Thomas: So we're on track. We've got equipment in there. We've made really good progress in terms of the project schedule. We have some existing base of business, which we will be producing there. And then I think long term that facility is a bit larger than what we need at the moment. So it will take us a few years to fill that up completely. But in terms of what we've targeted for this year, we would see reaching the targeted capacity by year end. There's multiple projects that we're doing there, so that's focused on our control product. So that's an area where we believe we can grow. But we're also, as Richard mentioned earlier, making other capacity increases in Mexico for our custom power, larger power products as well.
Jim Byrne: And then maybe just lastly on the labor front, I know there was some challenges in Guelph and then in some of the facilities before. Just give us an update on labor, and maybe even skilled labor engineering hires, assuming you will have to kind of build that base of your employment as well this year and/or next year?
Adrian Thomas: Overall, so there's -- to your point, Jim, there's ramping up labor for the factories and then there's ramping up some of our engineering talent at the same time. Across the board, I would say labor has stabilized but it's still not easy to get. So on the kind of the factory side, we've made some improvements in terms of hiring processes, onboarding processes and training processes. So we have opportunities to improve the retention of new hires. And we've seen the retention rates and improve on new hires. On the engineering side, I don't think that things have changed significantly, finding the right talent is difficult. I do believe we offer a great employee value proposition though. So once we get people on board, they tend to stick around with us. So the challenge is really still there to attract people, but I don't see it as a significant issue in 2024.
Operator: [Operator Instructions] We do have a follow up question from the line of Jim Byrne with Acumen.
Jim Byrne: I guess I'll jump back on. Adrian, India obviously had a really good year. Give us some idea of how much more you can get out of that region, can we double it again or do you have to look at potentially adding capacity there as well?
Adrian Thomas: I think at some point in 2024, we'll be looking at whether we need to make some capacity investments. I'm really happy with what the team has done there. I think, we've talked about the increasing profitability of India. There is a couple markets that we really focus on. I think that shift in customers and markets has helped us with the profitability. So we're really focused on industrial and renewables. Export business is good as well as working with our global OEMs and services. So at the moment, there's nothing planned but we'll be looking at taking some decisions in 2024.
Jim Byrne: And then Canada was quite strong in Q4. Was there any particular sector or segment of the customers that pushed the Q4 higher in Canada?
Adrian Thomas: It was primarily project driven, Jim. And there were just a couple of large data center jobs that went out late in the year.
Jim Byrne: And then maybe just last one for me, the M&A picture and pipeline. What are your thoughts heading into 2024 here?
Adrian Thomas: Jim, I think, we've been adding a lot of capacity. But one thing we haven't -- no questions about our power quality business, we're making investments in Mesta as well and we continue to look at -- I mentioned we brought out a new product with our sinewave filter. So we continue to expand that portfolio. And so I think that's an area that we're looking if there would be opportunities for us to make some investments on that side of the business. And on the transformer side, much of our focus is remaining on capacity enhancements, but if there were opportunities for market access or other capacity insights that maybe attractive for us. So we're active to look for opportunities for us to expand that way.
Operator: That concludes today's question and answer session. I'd like to turn the call back to Adrian Thomas for closing remarks.
Adrian Thomas: Well, thank you everyone for joining us. Just for closing remarks, I just want to repeat we're focused on delivering to our customers in 2024. It's going to be a busy year for us with all the infrastructure and the capacity that we're installing and ramping up, a lot of activity on the project front, which we're very focused on winning and executing. As we look at 2024 in addition to the capital expansions, the return on really strong customer service and decreasing cycle times is critical for us as well as, as I mentioned earlier, our continued progress on our sustainability initiatives and continuing to advance there with our ESG goals. So thank you everyone for joining us today.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.